Operator: Ladies and gentlemen, welcome to the Sanofi 2013 First Quarter Results Conference Call. I will now hand over to Mr. Sébastien Martel. Sir, please go ahead.
Sébastien Martel: Thank you. Hello, everyone, and welcome to our Q1 results meeting. As always, I'd like to draw your attention to the Safe Harbor statement. I must advise you that the information presented in today's call will contain forward-looking statements that involve known and unknown risks, uncertainties and other factors that may cause actual results to differ materially. I ask you to refer to our Form 20-F on file with the SEC, as well as our Document de Reference for a description of some of these factors. So on Slide 3, you see the agenda for the day. Our call today will be divided in 3 parts: Our CEO, Chris Viehbacher, will start off with a review of the key highlights for the quarter; then Hanspeter Spek will actually cover each and every growth platform; and Jérôme Contamine, our CFO, will conclude by providing details on our financial performance for the Q1 2013. So without any further ado, let me turn the call over to Chris.
Christopher A. Viehbacher: Thank you, Sébastien. Good afternoon, good morning, everybody. Welcome to the first quarter of 2013. As we have been pointing out for some years now, probably the most important impact on Q1 is really what happened in 2012. We have a number of factors that are essentially still impacting us at least for the first half of the year. And remember, this is really a year of 2 halves, where we're still going to be affected by the negative comparison to 2012 where we still had Plavix. Plavix lost exclusivity on the 17th of May. In addition, we also had the loss of exclusivity of Eloxatin in August. So there is a partial impact on sales and a partial impact on profits. So if I look at the first slide, 5, I think, though, we can clearly see that the patent cliff is essentially behind us. If we look at the bar graphs, those are the remaining sales of the many blockbuster products that have driven Sanofi's growth over the years. Those are the products clearly that we have been losing since 2010. You may remember at one point in time that those sales represented well over EUR 2 billion of our business, and they are now down to EUR 259 million. What's interesting is that you can see when we compare Q1 of this year to Q4 of last year, you can see that, that hemorrhaging has stabilized, that the level of sales of those products really is not losing anymore. So when you compare Q1 2013 to Q1 2012, you can clearly see that we lost around EUR 550 million, mostly due to Eloxatin and some to Lovenox. But when you actually see more recent activity, you can see that, really, the cliff now is becoming increasingly a matter that we're getting, progressively each quarter, behind us. If we change to the next slide, now, of course, the other half of the story has been the growth platforms, which grew 8.6% in the quarter and now account for 71% of our sales. The platforms were really driven by 3 elements in the quarter. We had a very strong performance of our diabetes franchise, up 19.6%, principally driven by Lantus sales, up 21%. We had a very strong performance of our Vaccines business, up 15.9%. That was partially because of the fact that the flu season was later in the year and was more severe this past year. So for the first time since I can remember, we're actually able to continue selling our flu vaccine in the northern hemisphere into the month of January. We also are continuing to benefit from the launch of our IPV vaccine in Japan, where there is a significant catch-up population. So that still has had an impact in the first part of the year because the IPV vaccine was approved in around September of last year, so we didn't have that -- those sales last year. Our Genzyme business, performing very, very strongly. Rare Disease segment, up 20%, clearly benefiting from the recovery of manufacturing. But manufacturing doesn't tell it all. Particularly for Cerezyme and for Fabrazyme, we do have competition with Shire, and so we've actually had to go back and win back that business. And I think it's a credit to the Genzyme team that they're rebuilding the reputation and image of Genzyme as the premier company in Rare Diseases in terms of their close relationship to patients. And so we have been able to expand both Cerezyme and Fabrazyme, Cerezyme growing at double digits, and we've doubled our Fabrazyme sales versus last quarter. What was also in there, of course, is Aubagio sales, and I'll come on and talk to that. The Innovative Products business is still small, but that is an area that is expected to start to grow as we've seen more and more product launches coming. Emerging Markets up 6.5%, lower than what we saw on last year, but I've always said that, that business is not going to be as smooth on a quarter-to-quarter basis, and Hanspeter will give more detail. Consumer Health Care being partly affected also by really our Chinese CHC business, which, I think, is a factor that we flagged last year, and again, we'll see more detail later. Animal Health, down 3.1%. You've seen some of our competitors also having lower sales, largely due to climactic conditions put some increased comps -- competition for Frontline as well. Next slide is really -- so a vision of how the sales have developed on a quarter-by-quarter basis since last year. You can see that sales were actually down 2.8% at constant exchange rates. So at a time when we actually lost EUR 550 million, actually the rest of the business has been starting to grow. So I think we can certainly see that the business is stabilizing and is positioned to start to grow in the second half as expected. On the bottom line, you may -- you all remember that Plavix and Avapro in the United States were never consolidated in sales but came in on 2 other lines of the P&L, notably other revenues and income from associates, and you can see the dramatic impact that, that has had. The impact on Q1 was EUR 562 million. The remaining impact on business net income of Plavix and Avapro in the United States is expected to be around EUR 240 million in Q2 of 2013, all of which is exactly in line with what we've been saying for the last 2 years. So you've seen that we had about a EUR 2.1 billion impact on BNI spread between 2012 and 2013. And so going into the Q2, we now have about EUR 240 million left of that EUR 2.1 billion. Again, we are now getting to the end of the cliff and getting that behind us. On earnings per share, you can also see this clearly, Q1 '13 versus Q1 of 2012, demonstrates that 29% drop at constant exchange rates. But you can see also versus Q4 of 2012 is that same stabilization that's occurring and actually some growth here. So this again portends, I think, a different future for the company that we need to get the comparison behind us, but the underlying business is performing well. I think what is extremely encouraging and is gathering increasing attention outside the company is really the status of our R&D pipeline. I think we've clearly got a robust development pipeline, and we're starting to see a number of approvals come through. We've got some significant clinical data releases coming along and some milestones, so if I can just cover some of those. We've had Zaltrap in metastatic colorectal cancer. That's launched in the U.S. and rolling out in the EU, just starting in the EU. We have our IPV vaccine in Japan that I referenced earlier that is extremely strong. Aubagio is doing well and pretty much still tracking the Gilenya launch, and many of you will be asking about the launch of BG-12. I mean, we've clearly seen some warehousing of patients that have occurred. But the warehousing of patients means that for most part of the time that we've been launching Aubagio, those patients weren't available any way to us. So I think my personal view is, is that with -- between Aubagio, BG-12 and Gilenya, that we've actually got a very strong, strongly developing oral market. And I think anyone selling interferon and Copaxone has got to be pretty nervous at this point. I think it's going to be a real question of orals versus injectables going into this market. Auvi-Q is off to a very strong start as well. You won't necessarily see completely the benefit of this in the sales just yet because this is an unusual market in that you have essentially one prescription per patient per year. So this has a shelf life of one year. You have your device, you keep it for a year and then you renew it one year later. And there is a very strong seasonal impact in the back-to-school season in August and September of the year. As patient #1, though, I can tell you I'm pretty happy with carrying around my device. It's a much smaller device. And actually, I'm very happy to know that I don't have to always remember to find the instructions for the EpiPen and to see whether I know how to use it or not. Lyxumia is rolling out now in Germany in particular, and initial indications are strong but we only have a few weeks of data. Kynamro was also launched in late March of 2013. This one is going to be a very slow build. I mean, very expensive, getting reimbursement, finding the patients is something that is going to take some time. Now we have -- if I move on to some of the milestones. You've seen us announce Phase III data for eliglustat, the ENCORE results. We have proof of concept in atopic dermatitis and severe asthma for IL-4. Very encouraging data, getting an awful lot of attention. I think this is actually an extremely exciting molecule. Lemtrada, we announced the 1-year extension, so we now have been able to show that the benefit we saw in 2-year data is actually extending for most patients in 3-year data. This will be extremely important as we go into reimbursement discussions for Lemtrada. Aubagio, we had Phase III data in Clinically Isolated Syndrome that's a sort of precursor to MS. This is the first oral drug to ever demonstrate a benefit in that, and we'll be submitting those data to be included in the label. In terms of regulatory milestones, you saw the FDA file acceptance in MS. Positive CHMP opinion in Aubagio. We have not yet been able to get the active substance, the new active substance designation. We will be filing an appeal in that area. We have consulted all of the world's top chemistry experts, all of whom confirmed that this is a separate chemical entity, so we will be filing that appeal with some confidence. Lyxumia was filed with the FDA in type 2 diabetes. We've seen the approval of Hexyon, which is our hexavalent vaccine in Europe. And the Quadrivalent influenza vaccine was accepted for a review in the EU, and I'll remind you that that's already underway for review in the U.S. and we would expect to be selling that product. We are already making that product, in fact, for the U.S. market for this year. As we go into the next quarter, we also have an important quarter coming up in terms of data. We have EDITION I and II, our Phase III data for our new insulin glargine formulation. We have the data for Preluent, which is the brand name for otamixaban. We have data for our JAK-2 inhibitor. We have data coming out from a long-running study in non-small cell lung cancer for Iniparib. And for our PCSK9, we will also have Phase III data in the familial hypercholesterolemia, named the ODYSSEY. We would expect some regulatory milestones in the Quadrivalent flu, the CHMP opinion in MS for Lemtrada. Potentially an FDA decision in multiple sclerosis for the second half of the year. And finally, towards the end of the year, our regulatory submission for eliglustat, our oral treatment for Gaucher's disease. I'll just point out that I think, obviously, the insulin -- the new insulin glargine formulation has become even more strategic for us, given the delay of our competitor. We now have an opportunity to be first to market in a combined GLP-1 Lantus combination, and able to launch our whole new generation of insulin prior to the launch of our competitor as well. So I think the ground has clearly shifted in the diabetes market in the first quarter. Finally, as we announced last year, Hanspeter Spek is going to retire from the company in the middle of 2013. And so we have reorganized, and we have 2 new people joining the organization. We have Peter Guenter, who will look after our Global Operations, essentially looking after all of the affiliates around the world in our 6 regions, as well as our Generics business. And we have just announced the recruitment of Pascale Witz, who joins us from GE Healthcare, and she will lead our Global Divisions, including Diabetes, Oncology, Consumer Health. And will be key the key interface with R&D, so she becomes the Executive Vice President of Global Divisions and Strategic Commercial Development, and that organization will take place as of July 1. I take the opportunity, because I think this may be the last quarterly earnings call for Hanspeter Spek, at least for Sanofi. I suspect he may still find himself on earnings calls elsewhere because he's a pretty active guy, and I'm not so sure he's going to have such a real retirement. But I would like to take the opportunity to thank him on behalf of all shareholders. When he started with this company, it was a small company and we've turned this into a EUR 35 billion business. I can certainly say, over the last 4 years, that we've gone through huge amounts of transformation, and as I've had to focus on cost reductions and acquisitions and trying to get R&D in shape with Elias Zerhouni, Hanspeter has kept a very steady hand on the tiller and delivered the business, so I'd like to thank him for his support. So with that, I'll leave and turn that over to you, Hanspeter.
Hanspeter Spek: Yes. Thank you, Chris, for the nice words. I kindly ask you to go with me on Page 15, where you see the first quarter picture concerning the Emerging Markets. First of all, we have defended our market-leading position. You see that we achieved EUR 2.7 billion of sales, which represent exactly 1/3 of our total business. We had a strong growth in Diabetes, Vaccines and Genzyme. We have a lower sales performance in Generics and Oncology. If you look to the regional split, then you see nothing new in Eastern Europe, where we have a 0 growth. This was the same picture in the quarters before. But this time, Latin America was a little bit softer with only 4.7% growth. This is partially due to weak sales in our Generic division in Medley in Brazil. But the more important part, it's due to currency issues. We have a poor performance of the Brazilian real and the Venezuelan bolivar, both countries are, for us, leading markets in Latin America. Overall, we believe that we are still very well on trend. You see that in the BRIC countries, we had sales growth in the first quarter of nearly 11%. Then on the following page, you see the performance of our diabetes franchise, very strong, very, very continued growth. You see in the bar section of the chart that we really continuously add EUR 200 million of incremental sales from quarter-to-quarter. And so in the first quarter 2013, we increased it to EUR 1.5 billion, equal nearly 20%. Of course, this was driven primarily by Lantus, where we see a very, very nice increase of the SoloSTAR share in sales in the United States, where, meanwhile, we get to 57% of sales, which are being distributed in SoloSTAR. You see that we have a totally homogeneous growth picture also in the Emerging Markets with 19.9%. And also remarkable that after the production problems we had in 2011, so you see a very nice comeback of Apidra, which, of course, is a very useful add-on product within our total portfolio. Chris has mentioned we have launched Lyxumia in Germany and the U.K. We have a much more rapid market penetration due to the conditions in Germany. For the time being, we have only 3 weeks of sales reported. So far, so good. We are very content with the performance. But of course, this will have to be confirmed in the upcoming data points to be received. I think it's worth to mention that whilst last time, we were not so absolutely sure how we would continue to develop the combination of Lantus and Lyxumia. I can announce that we have taken the decision to pursue primarily, but not alone evidently, but primarily the fixed dose device. And we will report more details to you at the American Diabetes Association, which is due in a couple of weeks, in June 2013. On the following page, the performance of Consumer Health Care. Steady performance overall. We have achieved EUR 811 million sales, 3.1% of growth. This is due to an issue we have in China with Consumer Health Care. We are in the process of better organizing our distribution system in China. We are doing so mainly by reducing the number of wholesalers. We are working this to get a more proper flow of margin between us and the retailer. If I take the China growth, the negative growth in China for the first quarter out, we would have then an overall growth of Consumer Health Care of 6.7%, which is very much even better than the overall market. We continue what we have done over the last 1 or 2 years. We drive growth by the development of life cycle management measures. And you see one example here, a topical form of Allegra, which nicely fits to the successful -- which we have with Allegra in its oral form. Chris has alluded to the difficulties of Animal Health care performance in the first quarter. Overall, you may have seen during the reports of Elanco, Virbac and Intervet, everywhere the reference to the climactic conditions. Which amazingly enough is not only true for the Production Animals, where the animals cannot leave the stables because of continued snow during the first quarter. It's equally true for the pet business, which, as you know, is about 60% of our overall business. And there within, we have this Frontline and we saw during the first quarter 2013, increased competition coming from generics. So overall, evidently, we are not content to report a minus of 3.1%. We rest very confident that, as by the way in 2012, the business will go back to, first of all, a stabilization. And then in the second half of 2013, also to a low single-digit growth in line with what we have budgeted for the total year of 2013. On Page 19, you see the very, very positive performance of Genzyme. Overall, Genzyme achieved sales of EUR 473 million in the quarter, up by more than 20%. You see the performance of all major products, this right of the table. The most impressive in relative and in absolute terms, Fabrazyme, which has succeeded to double its sales compared to last year. But also, Cerezyme increased sales by 16.8%. And once again, if you look to the competition, you'll see that feedback to market due to the solutions we brought into the production area, Genzyme really strengthened its position in the market overall, and major competitors lose consequently market share. We are off to a very good start also with the launch of Aubagio. You have heard from Chris before that we are trending very well with Gilenya after the first 3 or 4 months of sales. We have to, of course, confirm this, but we are convinced that we are in excellent position. If you look to the right side, you see that the product continuously reports excellent clinical results, which are, of course, the basis to any success in this very important market. And we could recently report the results of a study called TOPIC, where we could report that, for the first time, an orally available product has been tested in CIS, and you'll see that impressive 43% reduction could be obtained in terms of risk of converting to CDMS. Overall, we believe this is just the beginning. We continue to have the regulatory review of Lemtrada in the European Community and in the United States. And you have heard from Chris that we, of course, will make our position to the CHMP decision not to give an NAS to Aubagio, and we believe we are on very good ground. To close on the first quarter, we can report a very, very strong first quarter for our Vaccine division, 16% of growth, nearly EUR 700 million of sales, so we really have a record good first quarter. There are many reasons for this success. First of all, Polio and Pertussis were driven very favorably from China, which is becoming a more and more important market for vaccines overall. But equally for Japan, we have extremely positive performance of flu sales where we had another successful U.S. campaign, very early off to the market and where we could gain market share. And we see a very successful start of the southern hemisphere campaign in Brazil, which, of course [ph], up approximately 60%. Also, Menactra is doing very well. We have very impressive market share of 80% in the U.S. adolescent market, and we continue to expand also with this product in the Emerging Markets of the world. And finally, the first quarter was positively impacted by Pentacel, which is doing well after we could overcome supply constraint, which hampered our performance since the middle of 2013 and we get back to normal in terms of production, and finally, can again satisfy the market needs. So overall, a first quarter with more positives than negatives. We have minor issues in terms of Consumer Health Care in China. But overall, we confirm all the trends we have seen over the last quarter since 2012, and we also have confidence that this will continue in the quarters to come for the ongoing year. And I'll pass on to Jerome for the financial details.
Jerome Contamine: Thank you, Hanspeter. So I'm turning to Page 24, starting with a focus on exchange -- on currency. And...
Christopher A. Viehbacher: 23.
Jerome Contamine: Sorry, Page 23. So -- well, 23, I mean, you had also the description. But first of all, we see still an impact on the genericized products competition, which we still see over the next quarter. But as Chris alluded to at the beginning of this call, we are coming to an end. We have the contribution of our key products which are legacy products are now -- getting now in the range of 250 million per quarter, it's basically stabilizing. So clearly, still over the quarter this important impact which won't be visible as from 2013. Second, we also have the impact still in Q1 of the termination or the end of our agreement -- the marketing agreement for Copaxone with Teva in Europe. On the other hand, the growth platforms has contributed for a positive contribution of EUR 464 million. And to my point, we had this quarter a negative impact from the ForEx of EUR 212 million, which brings me to the next page, 24. Well, as you know, we are exposed to a variety of currencies, not the least the U.S. dollar. And the more diversified we are, we are exposed to various currency. And although the year 2012, quarter-after-quarter, we had a positive impact on like-to-like basis of the currency impact, mainly driven by a weaker euro. In the first quarter of 2013, and we are not unique in that respect, the whole industry has been facing that and probably not only our industry. We have faced the impact, in particular, of the decrease of the Japanese yen as a result of the newer monetary policy led by the Japanese authorities. So clearly, this has impacted our sales by EUR 113 million, which is more than half of the overall negative contribution of ForEx impact for this quarter. The rest coming from various currencies, including mainly South American currencies, partly, Brazilian real and the Venezuelan bolivar. On the profit, we get to see the same impact, but on top of that, we had a special impact coming from the bolivar devaluation, which occurred in February, and which impacted our other income line by EUR 36 million, so -- which leads to the overall BOI impact of the currency variation of EUR 144 million -- EUR 154 million, sorry, for this quarter. Now I turn to Page 25. I would say that this P&L is, as expected, was impacted by the expiration of Plavix exclusivity. So you see that it's a sharp decline of the line's positive revenues, as well as a share of profit coming from associates, as expected. So if we cumulate these 2 lines, and if you take it after tax, the overall negative impact is EUR 562 million. Which again is 2/3 of the overall way we have to go through for the year, with EUR 800 million impact for the year, which we are guided for when we made our full year announcements. On the other hand, I think this P&L shows also that we have a good control of our costs. At the same time, the evolution of sale has been managed in such a way that it has not impacted very much the various ratio if I take out the Plavix impact, which brings me to the next slide. So to start with, on the cost of sales to sales ratio, as expected, we have seen an increase of the cost of sales to sales ratio as compared to Q1 2012. But on the other hand, we start to see a reduction of this ratio if you compare to the average 2012. So, of course, we still have the impact of general mix of business in the Q1 2013 as compared to Q1 2012. But on the other hand, I mean, if you take the overall 2012 year, clearly, because of the end of sales coming from highly priced products from the U.S., we start to see a change of trend of the cost of sales to sales ratio, which is actually in line with what we indicated at full year. More precisely, I can add also that the mix has been somewhat unfavorable as long as we have a larger [ph] sales in vaccines. Also, the mix of sales in Vaccine was somewhat less favorable in terms of gross margin because we have been selling more in emerging markets and also through VaxServe, being our distribution company in the U.S. On the last point, the currency impact had also an impact on the gross margins ratio, which range in the -- around 0.3%. R&D, I mean, we stick to our objective, which is to maintain our R&D expense basically flat, around EUR 5 billion per year. So just for the quarter, as you see, we have had a slight decline of overall R&D expense by 0.6%, 0.6% constant exchange rate. Which is a combination of continued reduction of our internal costs, along with what we've done during the last quarter but also important investment into a number of Phase III trials we embarked on, linked to the maturity of our portfolio. On SG&A, 2 comments. Well, a, all in all, the overall SG&A expense are basically flat on the current exchange basis, slightly increasing on the constant exchange rate basis by 2.7%. This increase is totally driven by investments behind new products, in particular our MS products within Genzyme. At the same time, we have continued to reduce our expenses in mature markets, in particular in Europe. And we have continued also to reduce our G&A expense. We benefit fully from the synergies that we had implemented with Genzyme in that respect. And G&A, as such, has been declining by 4.8% over the quarter as compared to the same quarter last year. Slide 29, going down to the net income. Well, here, I mean, I could just make 2 comments. The first one is that we see a reduction of the net financial expenses from EUR 169 million to EUR 140 million. This is driven by a reduction of the overall level of net debt, as well as a leverage reduction of our cost of gross debt. At the same time, the revenue or the remuneration we get on our treasury or cash tends to be more and more limited because interest rates are declining, which is somewhat offsetting this overall impact. But all in all, as you can see, we've had a reduction in net financial expenses. I'll just also remind you, for the ones which maybe are not following us as closely, that we now report under the new IAS 19 revised rule. Which means that we account for the financial part of our pensions into this line of financial expenses. So we have restated the 2012 P&L along with this new rule. The tax rate is in line with what I indicated at the full year presentation, which is 26.5% for the year. So all in all, we have a business net income, which has been declining on a constant exchange rate basis by 28.8%. And we have managed to keep the number of outstanding shares stable at 1,322,000,000 thanks to the share repurchase that we have done over the quarter. Which brings me to the cash flow as a use of cash from the cash flow statement. Of course, the cash flow statement reflects the loss of revenues and profits and cash coming from Plavix. It also reflects the evolution of working capital during the first quarter, where there is always a negative evolution of working capital as we are building inventories in vaccines but also having some increase of receivables, in particular, in the Animal Health in the animal division. Also, during this quarter, because of the new launches, there have been some increase of the level of working capital requirement, which will be then starting to decrease over Q2. At the same time, we have kept good control on our overall CapEx expenses, which have been below the level of last year. On the longer overall strategy, we have invested EUR 345 million into new acquisitions and licensing, and this figure this quarter is recovering mainly our acquisition of Genfar in Colombia and the acquisition of the Rolaids products in CHC for Chattem. And we have continued with our share repurchase opportunistic strategy so that we have bought back EUR 400 million shares, represent a bit more than 5 million shares, which have fully compensated for the dilution arising for the creation of new shares coming from exercise of stock options. So our debt has continued to reduce by around EUR 300 million over the quarter, down to EUR 7.4 billion. So if I can just summarize before we turn to Q&A, I think this quarter, again, emphasizes the solid performance of our growth platforms, which now represent 71% of our total sales. As expected, we have posted a sharp decline of our profit as a result of exclusivity losses in the prior year, in 2012, mostly from Plavix but also as we saw for the quarter from Eloxatin and -- well, mainly Eloxatin. We have continued to have a good cost control, which is illustrated by Q1 OpEx. And we are in the position to confirm our guidance for the full year, which is to have a business EPS reaching from flat to minus 5%. And as mentioned by Chris, we have also a significant news flow related to our late-stage R&D pipeline. We saw noticeable approval on milestones during the first quarter but also some new ones to be expected for the coming quarters.
Sébastien Martel: Thanks, Jerome. We're now ready to open the call to questions. [Operator Instructions] Operator?
Operator: We have a first question from Mark Dainty from Citigroup.
Mark Dainty - Citigroup Inc, Research Division: Just 2 quick questions. Firstly, just one brief one for Jerome. Could you just tell us what proportion of SG&A, or however you'd like to give us the number, is actually just G&A costs? And then just one question on the biosimilar insulin. I don't know if you've confirmed yet exactly which molecules you're doing. But will it -- is it just the premix segment you're looking at or will you also be looking at a pure rapid-acting analog as well?
Christopher A. Viehbacher: Do you want me to take the G&A first?
Jerome Contamine: Well, we never disclose our actual G&A expenses partly also because depending upon the way we organize, there is some variation of the absolute amount. But you could say that out of the 26%, this is roughly 6% of the total 26%. So yes, 6% of sales, which is going to be [ph] G&A.
Christopher A. Viehbacher: In terms of the biosimilar, we've confirmed that both molecules have entered into Phase I, as expected, but we haven't confirmed the identity of the molecules, Mark.
Operator: We have a next question from Vincent Meunier from Exane BNP Paribas.
Vincent Meunier - Exane BNP Paribas, Research Division: Two questions, please. The first is on Lantus. The performance is, again, better than expected despite the price gap [ph] notably in China. Can you please tell us what is currently the pricing environment in the U.S., as well as in emerging markets? And is it feasible for you to further increase the prices there? The second question is on the Consumer Health Care. We understand that the situation in China will be not very easy to solve. What is really going there? And what can you do to recover dynamic growth there?
Hanspeter Spek: So perhaps I'll let's start with Consumer Health Care. The issue is distribution. You have a not very -- how should I say, not very transparent situation of distributors in China. You may say that there are about 5 or 6 levels of distributors. And it is not easy to really control where the product is and which level of the distribution channel gets access to which margin. So we are in the process of cleaning this up. We do so mainly in limiting the number of distributors, which means we will discontinue to supply the product to a significant number of distributors to gain better control about our products and their availability and the way the margins are being shared between the different levels of distribution between us and the final customer.
Christopher A. Viehbacher: I think it's fair to say that the -- actually, to the extent they're reliable, underlying IMS growth would suggest that the underlying growth is there, and we believe we've got inventory levels down to 30 days. But as Hanspeter said, it's taken a while to bring this out. We think we had that down to 30 days at the end of March. We've also put in place a system of actually monitoring inventory at the very end stage, which is in the pharmacy. So we know how much we put in at this front, and we know how much comes out in the end. You still won't know what's there at every level, but you can start to better understand the flow of goods out there into the marketplace. This is not an uncommon issue in China and has been faced by a number of FMCG companies, as well as OTC companies at different times.
Hanspeter Spek: Now on the performance of Lantus mainly in the U.S., we believe that we are doing pretty well. As you know, it's a mixture of volume growth with price increases. I believe that from both ends, are equals of more or less 20% is a very, very good benchmark. Nevertheless, we will continue to strive for more. Perhaps to anticipate a question, the last price increase for Lantus was 7.9% in October 2012.
Vincent Meunier - Exane BNP Paribas, Research Division: And in Emerging Markets, can you also tell us what are the trends and the expectations?
Hanspeter Spek: Well, the trend is totally identical in the Emerging Markets. Growth of Lantus is equally 19% as in the United States. There, of course, there is hardly any price increase in the figure. So it is nearly 200% of volume growth. And the question there is, of course, access. But once again, a 20% growth on already a very significant level, for me, is a pretty good benchmark. Once again, we try to do more, but I see that 20% on a continued basis is quite positive.
Operator: We have a next question from Richard Vosser from JPMorgan.
Richard Vosser - JP Morgan Chase & Co, Research Division: Richard Vosser from JPMorgan. Two questions, please. The first question on the Lantus-Lyxu combination. I just wondered if you could explain the overall rationale with going with the fixed ratio. Specifically, thinking about the biological rationale as well, given Lyxumia is a short-acting GLP-1, is there a risk that you get too much GLP-1 activity when you change the dosing and titrate up the insulin? And linked to that, just a couple of points. When can you go into Phase III with this product? And on the Fix-Flex device, we heard obviously the last quarter a software problem. I'm just wondering how that's developed into a more -- what seems more insurmountable problem. If you could give some color there, that would be great. And then secondly, just on looking ahead into 2014. President Obama looked at the dual eligibles in his budget, just wondering whether you've had a chance to think about what the potential impact might be on Sanofi there.
Christopher A. Viehbacher: Well, let me start with the dual eligibles. I still sit on the board of pharma and so stay close to the situation in the U.S. I've been also on the pharma board for a number of years, and dual eligibles has been on the table every single year since Part D was introduced in 2005, I think it was. And one can never be complacent about it. But the arguments in favor of dual eligibles are essentially that this is one of the few government programs ever introduced that is actually under cost, in terms of its actual versus predictive cost. And the second is that this is a government-sponsored but privately delivered plan. If you were to introduce dual eligible rebates, you are essentially introducing price controls into this market. And you will undermine the whole premise of government-sponsored but privately delivered. And so most people in Europe -- I mean U.S., would believe that this is not a program one should mess with because it's actually working. And it's because of this public-private operation that it's believed to work. And that has always been why there's been a refusal to go down that path. Now could the political calculus change? I mean, obviously, this is an area where the industry is vigilant. I believe that the CBO has scored these savings in excess of $100 billion over a 10-year period. So for the industry, it would be roughly of the order of $10 billion per year. Looking at the devices, as I said earlier, I mean, 2 things happen. I mean, one, on the Fix-Flex, this is an extremely sophisticated device. It involves software, it also involves a so-called hub where you're going to mix these 2 products. In consulting with all of the -- some of the world's leading experts in this, we have certainly determined that we are right at the forefront of technology in this area. And being able to resolve some of it because it's not just a mechanical device, this has a number -- a device that has a number of safety controls and everything else in it. And we believe that is certainly going to be the future. The question is whether we've got the right technology and everything else. In the meantime, Degludec has been significantly delayed by as much as 5 years, and it suddenly means that we're not a second combination in, we're a first combination. And a fixed ratio device is a pure mechanical device, one we know how to deal with existing technology. And so we don't really want to lose the opportunity of being first into this area. So we will continue to develop the Fix-Flex, but the fixed ratio has suddenly had a much higher value to us and could go faster. To your point about the dosing, I won't -- we'll be talking more about how this will work at ADA, so I don't want to particularly say anything at this point either on when we're going into Phase III or about how this works. But we have -- we believe we have a solution to making sure that nobody gets too much of the GLP-1.
Operator: We have a next question from Peter Verdult from Morgan Stanley.
Peter Verdult - Morgan Stanley, Research Division: It's Peter Verdult here, Morgan Stanley. Chris, I've got 3 questions but you're probably not going to answer the first one. I'm taking the U300 late-breaker for ADA, the positive signal, is there anything incremental you're willing to say at this point of time or do we have to just be patient and wait until June? I'll start with that one to see whether you'll answer anything, or just any insights.
Christopher A. Viehbacher: No, I think you are going to have to be patient. But what we are going to do is we'll have a dedicated Investor Relations call at ADA to give everybody -- it's on June 24. And so we'll be able to give everybody a lot more detail about that. But obviously, because of ADA, we don't particularly want to give any more information to diminish the impact at ADA.
Peter Verdult - Morgan Stanley, Research Division: Fine. All right, then. Then the 2 quick questions are as follows. When we look at your other prescription pharma, it's a big black box and you've EUR 5 billion of revenues. And then we've seen some of the U.S. and European peers, I think move to the side of these revenues into sort of an established products group, optionality for the future, allowing the underlying growth of the business to become more visible. Is that something for consideration at Sanofi? And then the second question you get every quarter, but we keep seeing net debt falling. Just wanted to know now, cash deployment, uses of cash, it seems there's a big bridge between EUR 7 billion and EUR 10 billion for bolt-ons to fill. So I just wanted to get your update of course there.
Christopher A. Viehbacher: So we're now talking about essentially tail products. Now, really, I think the business that one would be most concerned about, are tail products in Europe. Because you got the other in emerging markets, but other is a whole range of products. And some -- all of them are essentially growing in volume, but some of them may be affected by pricing movements here and there but, certainly, we would consider part of the core business of emerging markets. You are quite right to point out the tail products in Europe, which is -- last count was around 3...
Hanspeter Spek: EUR 1 billion.
Christopher A. Viehbacher: Yes, it's about EUR 1 billion per quarter. So roughly around EUR 4 billion is -- and that is declining. And that has actually been declining a little faster of late, really starting in 2012, largely because austerity programs in Europe are really starting to drive cost moves and, in particular, in generic utilization. Nonetheless, I think the -- if you look at Q1, the loss on that business is pretty much in line with the guidance that we've given increasingly, which is around EUR 300 million per year loss on this erosion. So that hasn't accelerated, and it's no different than what we've been expecting, and it's certainly what we've expected in our budget and our guidance. That having been said, it is clearly dilutive to growth. And so we are looking at options about what we might do. Now I can tell you that I've been looking at tail products for decades, and there are no particularly easy answers on this. Nonetheless, I think there are a number of moves that one could potentially make. And if we can find a way that enhances shareholder value on that, then we'll do so. But so yes, we're open to it, but haven't found really quite yet exactly how to do this in a shareholder enhancing way. And on the net debt, well, I'll just say first, don't forget that Jerome is about to write a big check for about EUR 3.5 billion for the dividend. So that will get us back to over EUR 10 billion in net debt. So I think the -- what we've said in the past still holds. I think we'll be looking at principally about EUR 1.5 billion in capital expenditure really to keep the business turning over. There's about EUR 3.5 billion goes in the dividend. We would expect of the order, though we didn't do this last year, but what we see now is roughly EUR 1 billion to EUR 2 billion on bolt-on acquisitions, that may be a little bit more in one year, a little less in the other. And that still leaves us with net cash. And our preference is to continue to invest in the business, but if we don't find anything that's value enhancing, then I think what you do is you make a call sometime in the course of every year, you sit down with your board, you look at the capital allocation. And if you don't have an otherwise better use for it, then you consider what you could do, whether it's dividend, special dividend or share buybacks. I'd remind you that we actually did EUR 400 million of buybacks already in the first quarter. We've always said we'll probably do it and tell you about it later because we've found that a more value-enhancing way to do it. So the EUR 10 billion has always been a marker for saying we don't believe it's management's job to accumulate cash. I believe we are still the only company where half the equity compensation of top management is based on a return on asset calculation. So that is essentially a safeguard to make sure that if we do any acquisitions, they have to be value enhancing. Otherwise, we can't meet our hurdle rates on those return metrics. So we're not just going to go buy anything, and I would pretty much stand on our track record of what we've done over the last 4 years. Equally, it is getting much tougher to find value-enhancing acquisitions. I mean, I think the Biotech Index is up well over 80% since the Genzyme transaction. We see an awful lot more competition in emerging markets. So in general, pricing is high. But I think it's a serious question about capital structure and what you want to do with it. It's not something you're just going to decide one day to the next. And that's why we've tried to put these goalposts in there, if you like. One is return on assets and another is we don't really want, over time, net debt to go down. I mean, I think we have also said the EUR 10 billion is not sort of an automatic trigger mechanism. If we hit EUR 9.7 billion on net debt, we're not going to do automatically EUR 300 million in share buybacks to get us back up to EUR 10 billion. It's more of a medium-term benchmark in terms of we believe what the gearing of the company minimally should be.
Operator: We have the next question from Tim Anderson from Sanford Bernstein.
Tim Anderson - Sanford C. Bernstein & Co., LLC., Research Division: A couple of different questions. Can you remind us when you think the first biosimilar Lantus will launch in developed markets? And last year, at some point, you mentioned how you thought biosimilars would take next to no share in the insulin market for different reasons. Can we presume you've changed your mind on the potential rate of penetration by virtue of the fact that you now have your own biosimilar in this area? Lilly previously said they think about 50% of the market could go to biosimilars. And then a separate question for Hanspeter, a general one on emerging markets. Is there any positive pricing power in emerging markets, or is this like most markets outside the U.S. where at best pricing holds flat and more often, it drifts lower over time?
Christopher A. Viehbacher: So biosimilars, remember, the world is a big place. And there's a number of ways that you can play biosimilars. For us, I think the idea of a biosimilar is really to start looking at: is there an interest in having a complete portfolio of insulin products. So in other words, is this a biosimilar or is this a -- what is essentially a "me too," but in an area where we can use our commercial muscle to actually gain a part of the market. Because when you actually look at the volume of insulin use there's quite an interesting marketplace to be had there. But it would be more of a competition in terms of market share than price. What market share they have? I mean, I think it remains to be seen. Again, I used the example in the past when you look at the flu vaccine, you've got 5 manufacturers of flu vaccine in the United States. So -- and you can pretty much argue that there are biosimilars to each other in some ways. And yet from 2002 to 2012, you saw the price of a flu shot go from $2 to $10. So I'm not so sure that -- I'm not so sure anybody can really tell you today how this is going to work. This is going to depend a little bit about what the whole pricing and everything else environment is in that period. I think it's going to depend from market to market. But I think there could be an opportunity from a commercial point of view in having a broader portfolio. We'll make that call before we go into Phase III with these compounds. What I can tell you is that developing a biosimilar costs as much as almost a whole novel biological molecule. So you're really only going to go down that path if you think you're actually, I think, going to get a market share at a reasonable price because of the investment. I think trying to go into biosimilars with the idea of crashing the price is not going to be an attractive proposition. If we think that's where it would go, we probably wouldn't do it. But I continue to believe that, at least in the U.S. market, that biosimilars will play a marginal role just because of the economic interest of the players. And the other thing I would say is if you look at what's going on in the diabetes environment today, you've got the FDA asking questions about DPP-4, so -- with the GLP-1. You've just had another basal insulin delayed by 5 years on the back of some safety concerns, or questions at any rate. No product out there has the safety profile of Lantus. We did 3 massive epidemiology studies in partnership with the ADA, the FDA and the EMA. We published the ORIGIN study, which is the biggest study in diabetes since the UKPDS study. So if you're looking for a gold standard anywhere, this is Lantus. And anything that comes along is going to have to measure up to that. So I wouldn't forget this whole background of safety. There is an awful lot of questions in the minds of everybody in this whole field. And the product that really can provide the most confidence in safety has got a competitive advantage. And I think that gives me additional confidence about where I think biosimilars will go.
Tim Anderson - Sanford C. Bernstein & Co., LLC., Research Division: And I'm sorry, and the timing of seeing the first one in developed markets for Lantus?
Christopher A. Viehbacher: You probably have to ask Lilly. I think they've -- you got -- I mean, Lantus patent expiry in the U.S. is February of 2015. Hanspeter, do you want to take Tim's question on pricing?
Hanspeter Spek: On your question concerning price in emerging markets, yes, there is some upside from price. It is small, and it varies from market to markets. We have markets where we have no positive impact at all. In others, we do. In some markets, we are indirectly protected against inflation because we get price increases for our products to be imported. There is also some flexibility for price increases for Consumer Health Care, which we don't have, for example, for the U.S. and also very limited in Europe. I would say in very rough terms, if our Emerging Market business grows by 10%, then 1% to 2%, 2% really maximum, comes from price and the rest is volume.
Operator: We have your next question from Eric Le Berrigaud from Bryan Garnier.
Eric Le Berrigaud - Bryan Garnier & Co Ltd, Research Division: Three quick questions, please. First, last year, you guided towards a 32% operating margin and you achieved 32.5%. Do you think you can maintain this level in 2013, or what would be your best guess or best range? Second question, about the other income and expense line, it was EUR 30 million in Q1 despite a EUR 40 million loss on bolivar. Did you have any other one-offs this quarter, or is it fair to assume that your underlying net contribution from this line would be around EUR 70 million per quarter? And lastly, on currencies. You provide a sensitivity and analysis for U.S. dollar against euro, but not for other currencies. Given the currencies that are impacting you this year, would it be fair to assume that a 1% impact on top line would translate into roughly same percentage point impact on core EPS?
Christopher A. Viehbacher: Okay, Jerome?
Jerome Contamine: Okay, so, Eric, thank you for this question. So on the operating margin, I think that we gave an overall guidance for the period 2012 to 2015, which is that we'll see this operating margin increasing progressively, and I can just confirm that. Now when it comes to 2013, there is such dependency precisely upon the exchange rate, upon how much we invest behind new products and so on. We have already the guidance on the business income, I would not add something on the operating margin. Even if clearly, I mean, I would be disappointed if we not create something, which was very similar at least to what we had in 2012. On the other elements -- I mean, the other operating income, yes, last year, if you recall, we had a positive one-off during the first quarter, which was a settlement on an existing -- old liquidation on one product. I mean, this line goes back and forth. So there is some elements which are basically recurring, which are the income we get from third parties. Typically the revenues we get for instance, from Warner Chilcott on the ACTONEL agreement. And then you have plus and minuses on basically -- about this quarter there was nothing specific but the exchange rate impact, more the devaluation impact of the bolivar, which I mentioned already. So I will not give you more on that, I mean, just to say that if you exclude this impact, you could say that this is a recurring element. Unless it is one-off, which could be for instance a legal one-off, which I don't know about at this stage, which could be either positive or negative by the way. On your third question, yes, this is currency. Well, I think that if we just give a guidance on the U.S. dollar, I think that is really the unique currency, which was sensitive enough as such that you could really take the guidance which you have, which is the variation of USD 0.01 versus the euro leads to a variation of 0.3% of the business -- in this net income [ph] or the EPS. Now for any other currency, there's no individual currency which is that significant. Now of course, when it comes to the yen, even if the impact is much lower, I mean, just over a quarter, we had an impact by 15%. So not just 1%. It was 15% or even 16% decline like-for-like of the yen, which was a dramatic and very strong decrease. So I've not done the exact calculation. Maybe I will revert to you on the detail on your point because I would not like to be wrong. But I mean, it's clear as well that there are some currencies which are more or less pegged to the U.S. dollar. Some others are not. I mean, you need to look at each currency for its own merit. I mean, another way to look at it is that for many of these other currencies basically our revenues, we know the revenues because revenues are local currency. And then of course, you have the overall cost of sales, which is basically as euro or dollar to a large extent, even here it depends. So I mean, there is not one unique thing, guidance I can give you on that element.
Operator: We have your next question from Steve Scala Cowen and Company.
Steve Scala - Cowen and Company, LLC, Research Division: I have 2 questions. First is when the 2013 EPS guidance was first issued, is it more likely now that the lower end of the range will be achieved, or is it just as likely that the high end may be achieved now as when the guidance was first issued? That's the first question. The second question is all the companies that market DPP-4s have been asked why the DPP-4 market has slowed but none have added much clarity. I wonder whether you have any impartial observations about the DPP-4 slowdown? Is it temporary, or is it a permanent shift towards other therapies in your opinion?
Christopher A. Viehbacher: So Steve, I'm afraid I can't give you any micro guidance. All we said is we're reiterating it, if I start staying "within that," then it's kind of a change in guidance. I think you got one quarter under your belt. I personally have never really looked at doing anything on guidance after one quarter. If we can give any kind of narrowing of it, we'll try to do it at the second quarter. In terms of the DPP-4s, the guys who sell them probably know the best, we don't have a DPP-4. I can only speculate. We certainly haven't seen anything in the diabetes, on the insulin end of things. That would suggest there's something upfront. There's certainly been an awful lot of noise around the FDA. You've seen perhaps some higher competition. But I can really only speculate. I'm not really expert enough and I don't whether any of my colleagues have heard anything, no, they're all shaking their heads. So the downstream in insulin has certainly remained robust. That's all we can say.
Operator: We have your next question from Philippe Lanone from Natixis.
Philippe Lanone - Natixis Bleichroeder LLC, Research Division: One remaining question, maybe on Brazil because we have another quarter of flattish sales, and you have been telling us what the reasons are, VAT change in São Paulo and among others. My question refers to -- could you tell us what are the actions you are taking to really make the business growing again and what -- when will we see that business growing again as fast as the market? And maybe another question on the new formulation, I understand you're saving most of the data for the ADA. But maybe could you clarify if you have decided to file with a full package, waiting for early 2014, or you will file already with the 2 first EDITION Phase IIIs?
Hanspeter Spek: Perhaps I'll go ahead, with Brazil. First of all, once again, a little bit like in China, we tried to concentrate better in the execution. Second, we dislocate -- I think I have said in the earlier calls that we have a very strong foothold in the larger São Paulo region, where we were hit by those VAT tax issues. So we dislocate the business now more to the central of Brazil and to the north of Brazil, which takes some time for evident reasons. We have to recruit, we have to make up new territories and so on and so forth. So we therefore said we believe that we will see a turn in the trend only towards the end of the second quarter, but definitely, set in the second half of 2013.
Christopher A. Viehbacher: Yes, I think the interesting thing is these growth platforms have become bigger. And so I think some things like distribution, which were more driven by pharma, have now become more driven by CHC and generics because of their size. And I think it's fair to say that we didn't always have the same measures in place to really track all of this. And those have now been put in place because of their size. But it always takes you 4 quarters essentially to roll through once you have it. So these are issues that really we've inherited from 2012. And you'll get into a like-for-like period by the second half on both issues. Concerning the new insulin glargine formulation, again, I think I'll just defer to what -- we'll be able to tell you more at the ADA. I think, as I say, this new glargine formulation takes on an increased interest given the changed market circumstances. And so I think the communication around this will be extremely important, and we prefer to have a dedicated session in June for you.
Operator: We have a final question from Seamus Fernandez from Leerink Swann.
Seamus Fernandez - Leerink Swann LLC, Research Division: So just a couple of quick questions. First off, Chris, as we think about the sort of transition of the Lantus franchise to the 2 new formulations, how much of the franchise do you think can actually be ultimately accounted for by the Lyxumia plus Lantus combination and the new U300 formulation? And then separately, as we think about the emerging markets, Eastern Europe, Russia and Turkey were a bit weak. Can you just update us on what the trends were in those markets?
Christopher A. Viehbacher: Seamus, so I'll start with U300. Again, we'll tell you a lot more. But I think our vision is, is that this is a next-generation insulin. So this is not a line extension, this is not for a particular niche of patients. This is a new long-acting insulin with a different profile, and we think our ambition will be to position that as such. So really, the same market as Lantus. And that's why this is -- there's an interesting opportunity for us here. On the emerging markets, I mean, we talked about Eastern Europe. I think Russia and Turkey were your questions, right?
Seamus Fernandez - Leerink Swann LLC, Research Division: Yes.
Christopher A. Viehbacher: And so, Hanspeter?
Hanspeter Spek: In Turkey, we have a negative trend due to price increases in the basis -- decreases, excuse me, I mean, in fact, we saw 2 or 3 decreases over the last 24 months. In Russia, it's the opposite. Our Russian sales are doing very well. We have at the first quarter a growth of 11.5%.
Christopher A. Viehbacher: And Eastern Europe?
Hanspeter Spek: And Eastern Europe is on a slightly negative trend, I would say. Of course, it depends a little bit on definition what is really Eastern Europe. I would say the trend is minus 1%, minus 2%.
Christopher A. Viehbacher: Yes, I mean, we've had the conversation whether Eastern Europe really is an emerging market given the ties to Western Europe. But my personal view is I don't really like changing definitions of anything once we've established them. So we've left them in emerging markets, but I think the macroeconomic trends are such that -- the economic growth has clearly come down. When you look at a market like Poland, where I was in December, this had been one of the strongest performing economies in the EU. But it clearly exports an awful lot into Western Europe. And given the slowdown in the economy in Western Europe, this is now slowing the exports out of Eastern Europe and slowing those economies down. So I don't think we're going to see Eastern Europe as a growth area in emerging markets for some time. I think that's just -- that's not going to come about until the Western European economy gets better, and I don't think I know of any expert that believes that's going to happen anytime soon.
Seamus Fernandez - Leerink Swann LLC, Research Division: And forgive me just for asking the relative percentages, but do you envision a scenario where Russia actually then starts to really kind of overcome the drags in Turkey and Eastern Europe?
Christopher A. Viehbacher: I mean, Russia is EUR 1 billion business. So this is an important market for us. This is certainly much bigger than Turkey. At least, twice the size of Turkey, isn't?
Hanspeter Spek: Yes.
Christopher A. Viehbacher: So this is going to be -- there's going to be ups and downs in all of this. You're going to have Arab Springs, you're going to have price decreases here and there. I think the objective is, is that the portfolio of these businesses can grow. But that's why we've never really been able to say [Audio Gap] don't expect the same rate of growth quarter-to-quarter because you're going to have these one-off events. I still say that having, again, been on the ground there and I look at the emerging middle classes that over time, this is still the biggest growth lever this industry has in terms of -- certainly in terms of volume. And we're going to see, I think, 2 major growth opportunities emerge. One in new product sales in the U.S. because I continue to believe that the U.S. is a market that will value innovation. And we also have, then, emerging markets. So those are for us -- and when you look at Sanofi, I think that's going to play out. We are the leading company in emerging markets, and I think we're well positioned to grab whatever growth is there. But I also think that the launch of new products creates a significant growth opportunity. So that's, I think, how things are going to shape up.
Sébastien Martel: Thanks, Chris. Well, maybe before closing, I would simply like to confirm that we will indeed host an IR conference call on Monday, June 24, during the ADA Congress. We'll go over the results of EDITION I. Also we'll share the top line of EDITION II. We will take advantage of that IR call to provide you with more details on the timelines for Phase III start of our Lantus/Lyxumia fixed-dose combination. And we should be able to send a save-the-date shortly. Just on a personal note, I'd like to also thank warmly Hanspeter for the contribution he's done to Investor Relations, at least, ever since I joined Sanofi. It's been a pleasure working with him. And with that, I'd like to thank you all for your participation, and wish everybody a good day.
Operator: Thank you. Ladies and gentlemen, this concludes the conference call. Thank you all for your participation. You may now disconnect.